Sigve Brekke: Good morning, everybody, and welcome to Telenor Group's Third Quarter Results Presentation. The third quarter was another quarter where we delivered on the strategy we have followed the last three years. Let me give you some highlights. We continue to mobilize our operation in Norway. And from that, we see a good customer response from both the mobilization of infrastructure but also what we do on our services. This resulted - resulting in a 5% ARPU growth, coming from both continuous up-sell into data packages, but also introduction of new services. With this, we see that we have been able to continue to grow the customer ARPU in Norway. In Thailand, after six quarters with revenue decline, we now finally see some growth. And as we said in the beginning of the year, this is what we had planned for. This growth is now coming from our network investments but also the turnaround we have had in our distribution. Myanmar, pretty much the same picture, also now coming back to growth, 2% S&T growth in this quarter, on the back of increasing number of customers with 1.8 million. However, we are having a strategic position in Pakistan, and we are not pleased with the negative development we have seen in the quarter in Pakistan. This is due both to macro factors but also our own performance, and I'm coming back to that later. Lastly, the portfolio development. It's continuing. This quarter, we have completed the acquisition in Finland of DNA. And as you have seen, we also yesterday announced a merger of our satellite-based entertainment business with the Nordic Entertainment Group. Let me go then into some of our markets, starting with Norway. We see a solid performance in all the segments in Norway. And this is then coming as a result of the modernization of our operation. In the quarter, we saw 12,000 new fiber connections. We also saw 6,000 new connections of our fixed wireless access products. This resulted then in 1.4% sales and traffic growth. And as you see in the middle of this slide, we were able to compensate for the decline in the fixed legacy business in the quarter. However, we also saw a slightly increase in the development of the fixed legacy business in the quarter. We saw then a solid ARPU growth, 5% ARPU growth on mobile and a 7% ARPU growth on the fixed broadband. This on the back of the quality and the speed in the network that we have invested in. The mobile ARPU increase is driven by a continuous up-sell into richer data packages as we have done now for many quarters, but we also now see that partially ARPU is coming from the introduction on new services such as insurance and security. On the fixed side, the ARPU increase of 7% is driven by a stronger growth in fiber connections, up-sell to higher speed and also price increase in the consumer segment. On the cost side. Norway has delivered on cost reductions for several years and they have done so with focusing on digitalization of the core business. And efficiency has become a way of working in Norway. 5% OpEx reduction in this quarter. This 5%, it's mainly coming from reduction in sales and marketing, operation and maintenance costs. And I am pleased with the Norwegian team that they are showing their ability in the very competitive market as we have in Norway to both modernize organization, take out costs and at the same time being customer-focused with new products and services. Moving to Thailand. dtac has been through quite a journey over the last 1.5 years. As you remember, first, it has gone from concession to license, then it was a massive network rollout, then we have also focused on making the distribution more efficient and also increased the distribution spread. And we have also then continued, as we have talked about several quarters, to reposition the company from a more technical prepaid type of customer offers into more postpaid service basis. And after the 1.5 year we have seen, after the heavy lifting, we see now that the customer satisfaction is increasing, and they are measuring that through the Net Promoter Score. We also see an improved customer survival rate, which is reducing the churn. And as a result of all this, we also see a higher gross add. So we're coming back to growth, but there is more to be done. And the Thailand team, dtac team is continuing to focus both on modernization but also continue to add customers and grow the ARPU. Going to Myanmar. We also said that when the year started that our ambition was to return to growth in the fourth quarter in Myanmar. This is now happening one quarter before the plan. So in the third quarter, we grew our S&T revenues with 2%. That growth is a combination of new additions. And in the quarter, we added 1.8 million new subscribers. And remember that this is on the back of the second quarter where we added 1.4 million. So we now have a record high subscriber base in Myanmar of 21.6 million customers. We see that the competition is continuing to be tough on the voice tariffs, and we see that we have a significant price reduction on voice. However, we see that our customers are demanding more and more data. And in this sense, our operation in Myanmar is different from what we see in Pakistan and Bangladesh. The uptake of data services are much higher. 60% of our customers are now active data users and their average monthly consumption is 3.5 gigabytes per month per customer. With this development, we are then focusing on data growth going forward, and we are then also focusing on building a data network, an efficient data network. We have now implemented a fully replaced core and also implemented what we say - call a common delivery center for both IT and network. This is giving us cost advantages but is also a way for us to modernize the network and the IT infrastructure, and with that, give us advantages. We also have the same approach now rolling out in our other Asian operations. Then to Pakistan. As I said, we have quite a challenging situation in Pakistan behind us. This is coming from both macro factors. And in this slide, we are showing how much the Pakistani rupee has been devaluating over and over there the last 2 years, more than 30%. It's also coming from the introduction of new telecom taxes. And when this happens, you see how our consumers, our customers are being affected by that. One example that is shown in this slide is the increase in the electricity prices and the fuel prices. And at the same time, we see that their salaries have increased only 8%. This is then hitting all the consumers in Pakistan and maybe us a little bit more than our competitors due to the position we have out in the mass market and in the more remote areas. If you adjust then for the tax introduction and if you adjust also for the reversals, the underlying growth in Pakistan, it's 4%. But as I said, we are not happy with that 4%. So we aim to do better than that, and we have initiated activities, especially focused on the cluster-based model that we have had success with in the other Asian markets. However, this can take some time, so I'm not able to give any clear guidance on the coming few months. Let me close up with this slide. In the Capital Markets Day we had in 2017, now almost 3 years ago, we set out a strategic agenda. And one of the areas we were - said we were going to focus on was to simplify our asset portfolio. This then to create a leaner, simpler and more focused Telenor. And this is exactly what we have done. And as you can see here, we have done several things over these last 2.5 years. This had then given us a platform, an ability to also look at new M&A opportunities. This is exactly why we approached DNA in Finland, and we have now concluded that transaction, and we are now owning 28% of DNA. And it's worth mentioning, without paying much premium. We have now started integration in DNA and also focused on the synergies that we announced when we announced this transaction. It was with this background we also started negotiations with Axiata in Asia. And we got good feedback from the market that saw this also as a value-creative opportunity. However, we knew that this was a very complex transaction. And in the end, as you also know, we were not able to conclude. And yesterday, as I mentioned, we also announced merging our DTH business with the Nordic Entertainment Group. And with that, I hand over to Jørgen that can explain also a little bit more in detail that transaction we announced yesterday. So please, Jørgen.
Jørgen Rostrup: Thank you, Sigve, and good morning, everyone. Appreciate that you're following us this morning at 3Q release. Third quarter has indeed been an eventful quarter also when it comes to portfolio development. So let's pick up where Sigve left us. After having bought 54% of DNA from the two largest shareholder in August, we are very pleased to see that also the MTO, the mandatory trade offer, has resulted - has gone well and resulted in an ownership share of close to 98%. And given that we now own more than 90% of the outstanding shares, it is natural for us to redeem the remaining shares and start the process of delisting the company. We expect this delisting to take place in Q1 2020, but we will spend the time that is natural in order to have a thorough and well defined-process on this. On the operational side, we have started on-boarding DNA to our procurement platform to materialize synergies, and we are now also looking, of course, for opportunities to expand service offerings to our Finnish business customers. So we are glad to have DNA in our numbers from 21st August onwards this year. Then last night, we announced that we will be entering into a joint venture with the Nordic Entertainment Group, in short called NENT, combining our Canal Digital satellite-based DTH businesses between Viasat Consumer, DTH and broadband TV business as well. And that is an important part to notice, the broadband TV business from NENT is also included in the transaction. It's a non-cash merger where the parties will have 50% ownership. The DTH business is declining slowly but steadily declining business, as we know, but we believe that by combining our expertise and our operations that we should be able to deliver enhanced customer experience first and make them even more valuable product for the customer, as well as attracting meaningful synergies for the owners. The peak run rate of synergies is estimated to be in the range of NOK 600 million, approximately a full year run from 2022 and will come in three main areas. It's the transporter business, so we are moving traffic to the Telenor satellite in its full. It's IT, both support system and core systems, but also customer interface systems. And it's, of course, sales, general and administrative costs, including headcount. Integration costs could be in the range of NOK 800 million on this. The transaction is, of course, subject to regulatory approval by the EU. We expect closing to happen in the first half of 2020. If we then have a look at the group figures. First, total revenue increased by approximately NOK 2 billion this quarter or 7% compared to last year, of which half of it, approximately NOK 1 billion, was a result of including DNA, and as I said, from the 21st August this quarter, while the other half, approximately NOK 1 billion again, was a result of favorable FX movements in relation to the Norwegian kroner. The Norwegian kroner depreciated to all other currency in the quarter. This quarter, we see almost stable organic subscription and traffic revenues. It's slightly negative of half percentage point. And during the quarter, within these numbers, we have continued to see subscription and traffic revenues growing in Bangladesh with 7%. But also, as you can see from the slide, solid performance in Norway, as Sigve was alluding to, of approximately 1.5%, driven by fiber revenue growth of 25% and solid mobile ARPU development in the quarter. Thailand and Myanmar, the sequential improvement in revenues continue this quarter, and both operations have now returned to growth in the third quarter, and we are obviously very pleased with that development, a little bit ahead of what we had communicated earlier. And then in Pakistan, their growth saw a material slowdown, as Sigve pointed to it. It is partly the reintroduction of the telecom taxes. And then also, please to remember the very tough comparables we have in this quarter due to reversal of accrual last year. So these two elements together put an 18% - 18 percentage points headwind on subs and traffic revenues developed in local currency. Underlying from this, growth was around 4% positive on subs and traffic in Pakistan, which is a slowdown compared to last quarter and it is driven by ARPU being increasingly under pressure, as Sigve side. And to repeat also his words, the performance we now see is below what we should expect from a market like Pakistan. A couple of comments, two more. The growth in the group continues to be negatively impacted in total due to fixed legacy, which is a recurring item primarily in - from Norway. The impact is pulling down the group's growth by 1 - approximately 1 percentage point in Q3. The increased churn we observed within the fixed legacy in Norway is in line with the expected trend. Let's look a little bit at OpEx then. Our modernization and efficiency work is steadily progressing. Nothing has changed. If we adjust for the inclusion of DNA cost this quarter, including the cost base of DNA from 21st August and also non-recurring M&A costs, approximately NOK 110 million, the OpEx base remains stable in the quarter. So far this year, excluding the M&A costs and also the Grameen one-off that we had in Q2, the decrease is 1 percentage point, which is in line with what we have communicated, the communicated admission of OpEx reductions of 1% to 3% per year to 2020. Looking at the categories to the left in the slide. There is an improvement in sales, marketing and commission. There is an improvement in regulatory and site rental costs. Marketing and commissions is primarily driven by Norway. Why the improvement in regulatory costs is mainly a result of reduced revenue share payments in Thailand after transition from concession to license, according with previous quarters. And as you probably remember, this is offset - this element is offset by a lease of infrastructure from CAT in the other OpEx line. In Asia in particular, we continue throughout this year to see increased energy costs, also in third quarter, mostly due to higher prices, but also from increased network footprint as we have explained before. The latter again also results in higher operation and maintenance costs. If we then look at the development per business unit. We see solid cost improvement materialize in Scandinavia, with OpEx reductions of 5%, 6% and 9% in Norway, Sweden and Denmark, respectively. It's a very good performance this quarter on this slide. Efficiency improvements within corporate functions is following the latest initiative, the one we named Epsilon and talked about in second quarter. This is yielding the results we have anticipated, and we have also mentioned a full year run rate next year of NOK 0.5 billion. However, this quarter, it's somewhat masked by the commented M&A costs that I talked about. Going forward, we continue with strong efforts within this area. We believe it is useful for us from an earnings perspective but also from a modernization and agility perspective. So we will continue with efforts and ambition of OpEx reduction of 1% to 3% per year to 2020. We believe there is significant efficiency potential left. Looking at EBITDA growth. It's important then to keep in mind that we had two non-recurring items last year third quarter 2018. Pakistan with an effect of NOK 500 million and global wholesale in the other units segment with, I believe, NOK 163 million. These two elements are impacting the growth on EBITDA negatively by 5 percentage points this quarter. In addition, as mentioned, we had M&A costs this quarter impacting another 1 percentage point. So the underlying decrease in EBITDA is 1.6% and is primarily driven by weak performance in Pakistan. Other units, the negative 2.3 percentage points that you see in the slide is stable when adjusting for one-offs in global wholesale last year and M&A costs. However, contributing underlying to the negative development of 1.5% is also a soft top line development in Sweden and a little bit cost increase in Thailand participating on that. Reported net income to equity holders of Telenor in the third quarter was negative NOK 0.4 billion, which is a decrease of NOK 6.3 billion. There are three explanations that -- for this: High net currency losses of NOK 1.8 billion due to a weakening, as I said, of the Norwegian kroner against all other currencies. Then we have earlier informed the market that we are doing a recognition of an income tax expense of NOK 2.5 billion related to losses of guarantees in India. Norwegian tax authorities disagree with us. They disagreed for this to be tax deductible. We still believe we should have a tax deduction on it, and we will contest the review, but P&L effect comes in this quarter. In addition, if we go 1 year back, we had a gain on disposal of the Central and Eastern Europe assets in third quarter last year of NOK 1.7 billion. That was recognized in third quarter last year. So these three elements are explaining in total the difference in net income between last year third quarter and this year's third quarter. The ratio of net debt-to-EBITDA this quarter increased by 0.8 times EBITDA from previous quarter, primarily as a result of acquiring DNA in Finland. And in this ratio now, we have included 100% ownership and financial effect from DNA in Finland. And of the 0.8 times multiple it gives of change, 0.65 is contributed to the DNA transaction. We also have a buyback of shares in the market in third quarter continued with that. We are now 86% done with that program. That is NOK 1.9 billion. And then we have buying back the proportionate number of shares from the Norwegian State related to the 2018 buyback program of NOK 2.4 billion. These two latter elements have a total impact of 0.1 time EBITDA. This takes us into the guided range on the leverage side of 1.5 to 2 times EBITDA. Free cash flow in the third quarter was negative NOK 11.6 billion due to the payment of NOK 14.8 billion for the acquisition of the 54 first percent [ph] of the shares in DNA in August. Free cash flow before M&A activities was NOK 2.8 billion, which is a decrease of NOK 1.9 billion compared to last year. This decrease is primarily due to the license deposit related to spectrum renewal in Pakistan of approximately NOK 2.1 billion. And then a quick look at our outlook. One quarter left of the year we maintain our guidance for 2019. Organic growth in subs and traffic revenues around 2018 level. Organic EBITDA growth, excluding then the M&A costs, low single-digit decline. And CapEx, excluding licenses, in the range of NOK 16 billion to NOK 17 billion. Even though we see Pakistan coming in somewhat weaker than anticipated, we have on the other side gained good traction in Myanmar, Thailand and Norway this quarter, and we believe that gives reasons to maintain the outlook. Then let me finish up with an invitation. As you know, we have Capital Markets Day back in 2017, where we set out the strategy and financial ambition for 2017 to '20. We believe that the strategic direction we set out back then has been instrumental in how we have worked the last couple of years as Telenor Group. We are now fast approaching the end of this strategic period. And we are, as we speak, running a strategy process for the coming years. We believe and hope we have some interesting years of modernization ahead of us with, for instance, the copper decommissioning and modernization in Norway, 5G launches in several markets and new approaches to customers, new offerings and new products, new services. And we will very much like you - to update you and to discuss this with you regarding the next phase and also set some financial ambitions for the medium term. We hope that as many of you would like to join us for this event, which will be held the same day as we present the 4Q results. Then Sigve, maybe we should see if there are any questions.
Sigve Brekke: I guess so.
Operator: Thank you. We'll take our first question from Peter Nielsen with ABG.
Peter Nielsen: Thank you very much. Just two questions in Norway. Obviously, you're performing very strongly in Norway. You're indicating that the modernization initiatives are having a positive impact on the top line. But if I understand your comments correctly, I mean, the OpEx reductions for this quarter are mainly sort of temporary of nature. Could you perhaps elaborate a little bit on how these modernization initiatives will impact OpEx in the near term, good or bad? Then I don't know if I may take a second one, but could you comment a bit on how you see Sweden? You're stocking a bit to regain growth. Your B2B position seems to be on the sold. Can you give us some comments on how you see the Swedish market now? Thank you.
Jørgen Rostrup: Thanks a lot. Do you want me to take the first one?
Sigve Brekke: You take the first one and I take Sweden.
Jørgen Rostrup: Thank you. Yes. So what we are doing in Norway, as we are doing in the other business units, by the way, is to try to move more and more of our focus and effort on the efficiency modernization side into a more structural approach. And we have talked earlier about the fact that we will have longer lead items in this work because that has to do with the development in how we work and with the challenges and opportunities we see. So this quarter, Norway came in strong on costs, as well as top line development, very good. But obviously, we shouldn't see that kind of jumps every quarter as the natural part of for us. We are a lot more focused on seeing the continued work is taking place in the organization and then we'll get the financial elements into the quarters the way they develop. We will, of course, have cost consequences of the copper decommissioning. As we have said before, we have indicated that cost base north of NOK 1 billion on that. We have also indicated that, that will come - most of that will come in the latter part of the 4 years that we set out to work on this, but we will probably see some along the way. We also will see another part of the modernization in Norway both on the organizational side, on the IT side, et cetera, that we will have effects. But I'm hesitating to kind of put it into quarters and the timeline. The headline then should be that we will continue for 2020 with our 1%, 2%, 3% cost reduction for the group as an ambition. And we will, of course, at Capital Markets Day, come back and talk about the somewhat longer perspective. Sigve?
Sigve Brekke: Yes. Let me just add a little bit to Norway because you also asked about the top line. And modernization in Norway is not only about reducing costs. It's also about taking a position with growing revenues. So when we know we're increasing the fiber a lot, that comes back as a revenue growth. When we are introducing the fixed wireless product on 4G, that is a part of creating revenue growth, but also when we are digitalizing the consumer journeys, simplifying the customer journeys and making it more convenient for a customer to deal with us also digitally. That enabled us to do that up-sell into richer packages, but that also enabled us, as I said in my introduction, implement new top services, like for example, security services that we do now both for the consumers and also for the business segment. So modernization is both. So we are happy that the Norwegian team have been able to come to thoughts at the same time both on the cost side and on the revenue side. On Sweden, yes, you are right. It is a competitive market in Sweden, especially on the B2B segment, but also in the consumer segment. I think we are - of course, we are number three in Sweden, so we will follow the development also from our competitors. So we want to stay competitive. And we want to make sure that we are offering the very best services to both the consumer segment and to the business segment. But we have seen over the last few quarters, that especially the business segment, has been challenging. So - I cannot say anything more about how we see the coming quarters in Sweden.
Peter Nielsen: Okay. Thank you very much.
Operator: Our next question comes from Henriette Trondsen from Arctic Securities.
Henriette Trondsen: Yes. Three questions from me, if I may. The first one is, can you give any more color on your strategic review for your total assets? And also, the second one is on the deal with Axiata. Will you now look into other acquisitions or consolidation in Asia? I guess you can say, given more color on why your discussion ended. The then last one for me, if I may, the continued weakness in Pakistan, can you do anything to offset this going forward as your competitors seems to have not pushed over the increased packages to customers? And what do you expect in the next quarter? Thank you.
Sigve Brekke: Yes. I can say a little bit about Pakistan and also about M&A. And then Jørgen can cover - cover a part of your question. Now in Pakistan, as I said, it is said de facto [indiscernible] And I think our competitors are also having the same macro effects as we see, but also the effect of that we are not able to pass on the 10% service tech to our consumers. So that I think is an industry issue. What we then are now trying to do, as I said, is trying to be more granular, go into the smaller clusters, go into the villages, trying to utilize the strength we have in distribution and the strength we have in network. And that's why we are saying that I don't want to only talk about the macro effect in Pakistan. I also I'm not pleased with our own performance. And that's what we're going to do here. And that's exactly what we did in Myanmar to turn that operation around and as we also have done in Thailand. So we have some experiences from doing that. However, I cannot give any guidance on when we will return back to better growth in Pakistan. We will target this as best as we can and we have now initiated several new activities to see if we can improve the performance. On the Axiata deal, no, I cannot comment more than what we already have done. It was a complicated deal, and it was due to those complications that we were not able to conclude that deal either. Having said that, we started on a journey when we announced DNA. And it was on back of that, we also said that let's see if we can explore opportunities in Asia. So over the last 2.5 years, we have focused on these two regions, in strengthening our position in the Nordics, strengthening our position in Southeast Asia. So of course, I cannot give you any comments on how we're looking at new things, but we will be looking at value-creative opportunities, as we have said all along. But more than that, I cannot comment.
Jørgen Rostrup: Henrietta, just a short comment on towers. We are bundling the environments and the business in Norway as we speak, so that is taking place. And we obviously are working on these issues in several of our markets, but we have nothing more to comment at this point. Maybe just remind that we will take a stepwise approach regardless. We will work from an industrial perspective on this and not a shorter-term financial optimization perspective. And we are probably, as we have said earlier, going to work on it more in a market to market or region at the most perspective because we believe there are distinct differences in the different regions and markets. And as you can also understand, it has had - the disruptions we carried out with Axiata in the summer, of course, included one perspective on the Asian tower opportunity. And now we'll just have to see what we do since those discussions in general stopped.
Henriette Trondsen: Thank you.
Operator: Thank you. Our next question from Henrik Herbst from Credit Suisse.
Henrik Herbst: Yeah, thanks. I think the main question I had was on Norway where quite a lot of the improvement in your service revenue trend seems to be driven by price increases. You didn't do much in prices. Last year, you've done two on DSL. Given the subscriber trends, it seems like price increase has gone down quite well. Just wondering how you think about your ability to continue to raise pricing. That was it. Thanks so much.
Sigve Brekke: Yes. I cannot always comment on that question. Norway is a competitive market. And even though we are a market leader, we need to see what our - how the competitive landscape - it's the situation there. But I don't think it's correct to say that the growth is coming from - only from price increases. I think the consumer growth is coming from the ability to continue to up-sell. And that is actually driven by the digitalization we had on distribution, meaning that we talked to the customer digitally. And the customers are willing to pay a little bit more when we move them into richer data bundles. But in addition to that, we also see that the current data customers are appreciating the new type of services that we are giving them. And the ID theft services are becoming very popular. The family bundle offer that we had where we also are working together with other parties to make the family calendar richer. For example, the Soccer Federation in Norway is one example of that. So I think the Norwegian team have been able then to create more value to our customers. And with that, the customers are willing to pay for that. On the fixed side, it's very much the same, also increased fiber connections. And also then with that comes an TV offering big. So it's a combination of these three - of these things that are driving the ARPU both on consumer and also on the fixed side.
Henrik Herbst: Thanks so much.
Operator: Next question comes from [indiscernible]
Unidentified Analyst: So my main question really is - I have a couple of ones actually for me. So in Sweden, just to follow up on that, although you did answer quite detailed on Sweden. We see that in terms of service revenue growth, you're actually lagging Tele2 and Telia by 4 and 2 percentage points in terms of year-over-year growth, respectively, so - and the ARPU is down 5% year-on-year [indiscernible] has had a positive development of quite flat to positive. So could you help us up with some more explanation as to why you see your ARPU coming off especially more than the competition? Is that the price adjustment that you're doing or different exposure to segments? That will be helpful. And then on your financial leverage position, buybacks are now nearing completion for the market part, around 75% has been done. Do you plan on completing the buybacks for this year now that you have reached 1.8 leverage? And is it likely that you will not be that eager to propose a new buyback program for next year given that you are now in - within the targeted range? I don't know if you can answer that, put any color on, that will be helpful.
Sigve Brekke: Yes. Let me take Sweden. I don't think I'm able to answer very much more in detail than I already did. But of course, this is something we are looking at. It's mainly on the business segment that we have seen some challenges over the last few quarters, but we are also seeing the pressure on the consumer segment. So what we are trying to do it's to focus then on the same customer offerings as we have benefited out of in Norway. We are trying to also digitalize the core operations in Sweden, and we have a lot of focus now on the IT infrastructure and also modernizing our network in Sweden as we have in Norway. But there is also a competitive market. So we see the same trends as you are describing. And the way Telenor works is that when we see opportunities or when we see challenges, we put our efforts to it and our focus to it, as we have done in several other markets. So hopefully, we are able to also perform better in Sweden in the future. But again I don't want to give any guidance or any comments on that other than we see challenges and we are focused on trying to solve them.
Jørgen Rostrup: Frank, on leverage and buybacks, first of all, I think the number is approximately 86% or something bought back, if I'm not mistaken. So I think we're in the high 80s. This buyback program, when we put it in execution, it's totally outside Sigve and my influence. We have arranged it so that is within that set of mandates. It's others that are executing on that. But you could assume - I would think that we are in the high 80s, so there could be a fair chance that this is over by New Year. But I made no influence and no insight as to what the daily rate will be going forward, and I'm glad I'm not. It's much easier. Then going further, I think the Board has expressed and also executed on a very, very clear ambition to share the values, the financial values in Telenor in a good and consistent way with its owners. But we have also said that, that is an extra tool in the toolbox. I think we should let the Board carry out their discussions, which I indicated in my presentation, they are in the midst of now on strategy, including of course the financial strategy and see how they want to express this for the going forward at, for example, the Capital Markets Day in January. But I - so I do not want to comment on that specifically, but I do want to comment that management of Telenor, and as far as I've heard also, the Board of Telenor, is a very focused on continuing being a value creating company to the best of the shareholders, as well as other stakeholders, of course. And then we'll see how they want to play it out when we have the Capital Markets Day.
Unidentified Analyst: Okay. Thank you.
Operator: Next question from Andrew Lee with Goldman Sachs.
Andrew Lee: Good morning, everyone. Thanks for taking my questions. I had - I just wanted to just ask a few more questions around your - about your plans to your Asian assets. And I understand some of it you may not wish to be able to answer, but I'm just going to ask anyway. So first question was on Axiata specifically. So I didn't quite catch what you were able to say on that, but any more color you could give on why that deal collapsed and on whether it's even possible for you to come back to the table with Axiata or whether would you still not including adding markets problematic, that will be helpful And then secondly, the proposed Axiata deal included a separate listing for the Asian assets. I'm sure you've heard over the past few months how positively that was received by Telenor investors or non-investors looking to look at the stock in more detail became it seems to provide valuation. And given the current complexity, it makes Telenor so difficult to value for many. So I'm just wondering if a separate listing made sense as part of the Telenor, Axiata deal, could it makes sense anyway for your Asian assets? Thank you.
Sigve Brekke: Yes. It's a nice try, but several of you have asked this same question after we called off the Axiata deal. And I cannot say more than what we have already said. It was due to the complexity of the deal that made us not able to conclude. However, we read you. As you said, you thought that it was strategically right for us. You said that you like the synergy part of this and you also like the listed Asian assets. So we heard you, but I cannot comment more on what we don't do when we are not able to conclude that deal. The only thing I can say is that we have said all along that we are value-driven in whatever we do on M&A. We were value-driven when we bought the DNA. We were value-driven when we looked at Axiata. And we will be value-driven if we look at other things. But that's the only thing I can say. And we will continually - continue to look at our assets, and we will continue to look at what could value-created opportunities look like, but I need to leave it at that.
Jørgen Rostrup: And maybe we should make it 100% clear that it wasn't the deal itself that was too complex. There were some complexities in the project. So that's why it's…
Sigve Brekke: Jørgen, already took it one step further.
Andrew Lee: Okay. Thank you.
Operator: Thank you. Our next question Roman Arbuzov with JPMorgan.
Roman Arbuzov: Thank you very much for taking my questions. I have three quick ones, hopefully. The first one is just around partnerships you've attempted and executed to do two partnerships with non-cash deals. So I'm just wondering what could be the other areas which are ripe for similar partnerships, perhaps some areas where you're not satisfied with the current returns you're getting out of the assets or where you think its kind of low-hanging fruit. For example, would you be open to infrastructure sharing deal in Malaysia post the Axiata collapse? And also can you do more, for example, on network sharing in Sweden and Denmark? And M&A more generally kind of - and so that's the first one. Second is just a very quick clarification on Pakistan whether you've actually raised prices at all on the back of the new taxes and you haven't done it. And how should we think about it going forward? Is there any potential for this, so we should just write it off? And the third one is just on Thailand. So last quarter, I believe, was the first quarter where you've taken market share for quite some time. So that was a very big achievement. And I was just wondering what are you seeing in terms of current trends? Do you continue to take share? And how sustainable do you think that is? Thank you very much.
Sigve Brekke: Yes. Let me start on Thailand. We don't know if we have taken share in the third quarter because we haven't seen our competitors' results, so that we don't know. And our focus now is actually to make sure that the network experience is significantly improved. That's why we are tracking the network NPS every day. Our focus is on really ramping the distribution to make sure that we take our fair share of users out in the market. And our focus is also to make sure that we are transforming the company, modernizing the company also to be more a typical service-based postpaid player. I think that's the focus, more than looking at the share part of it. And I think that is what's coming through now in the revenue growth. And that's also what we are going to look at going forward. This is a market now with three players. It is a market which has reduced a little bit some of the very aggressive competitive moves we saw a year ago. So the handset subsidies are much less. The unlimited offers on prepaid are basically gone. So it is a market which we think has the opportunity to grow as an industry. So that's our focus, and we don't want to disturb that with we do something that could trigger another spin of various competition. On Pakistan, now there has been a very - we tried to take some of the 10% service tax and pass it on to consumers, but this is what the court then said that we are not allowed to do. So because of that, we have had a very marginal price change in Pakistan. Going forward, we of course - this is hitting the whole industry. not only us. So going forward, we need - in the competitive landscape, we need to see on how do we deal with us. If there are any opportunities to do something with the prices or if there are opportunities to do something with our offerings. But bear in mind the macro effect of this. When their electricity prices are going up 23%, when the fuel prices are going up 25% and when the currency is - has come down 30%, it is definitely less purchasing power among the people. So it's a combination of this we need to look at. And that's what we have learned from other markets, that if you go very granular, there are potential pocket for growth out in certain areas where we have a very strong position, being in distribution and our network. But I cannot give you any guidance on how this will look like in the coming few months, but we are definitely having focused on Pakistan from the group level as well, for me and Jørgen, as we did in Thailand, as we did in Myanmar to turn those operations around.
Jørgen Rostrup: Should we also comment on the partnership thing?
Sigve Brekke: Yes.
Jørgen Rostrup: We understand from your question you are talking about predominantly structural partnerships and on the kind of M&A business structure side, but let's take one step back. We said and have said throughout the last couple of years in management of Telenor that we need to continue to develop our ability to be a good partner and to work and attract good partnerships. And that goes much further than our company then on the financial side and the joint venture here and there, but it means through partnerships. I think where you see, the best is probably within the technology and operational side where we have the dual-vendor principles, where we work on the CDC setups that Sigve talked about this morning and has talked about before. We're really going to very strong partnerships with our vendors. And we think simply as a telco company that attracting and working well with partners, first of all, is not always easy, so we need to be good at it. But it is important, if not critical, for us to create a good value going forward. And then to your question on the structural financial side. We have quite a few different models. Central and Eastern Europe we went out of simply because it was subscale and there were a few other things in there and we wanted to concentrate on the Nordics and on Asia. And then went into DNA, which we by the way, we were able - willing, more than willing to be in a kind of partnership on, keeping it listed. And now the voice from the other minority shareholders has been so that we are going to own it 100% ourselves. Financial services, we have been fortunate to attract strong partners in the digitalization journey of that. It wouldn't be as easy to do it by ourselves. It's not easy anyway, but to do it ourselves was not what we should do. We have for many years have the practices, that you said, in Sweden and Denmark on the tower side and on the spectrum side and so on. So I think we don't have any new thing to inform about. But in general, we have been there for a long time. We have done a lot now. We are constantly talking and discussing about how we can be a better partner and develop strong and good value-creating partnerships. And we will also, from an ownership perspective, seek the most valuable - value-enhancing solutions for it. And then it is also difficult from time to time to be partners, so also that will give us challenges.
Roman Arbuzov: Thank you very much. I appreciate it. Thank you.
Operator: Next question from Terence Tsui, Morgan Stanley.
Terence Tsui: Good morning, everyone. I had a question around the transaction of Nordic Entertainment Group. Maybe you can give us a bit of background behind the deal. Why now? For example, how did you get into 50-50 ownership agreement? And what are your plans now? Or does this change your view around content and owning content? Thank you.
Jørgen Rostrup: Yes. So why now? I believe that this has been a combination that I assume many have thought about for many years, and it is a combination that makes very much sense, and it makes sense obviously for the two owners, but also makes sense for the customers and for the services that are delivered. In particular, when you get in a business and predominantly decline, the ability to have enough size to continue to renew the product offerings and to stay innovative in customer solutions is critical, but you need size to defend that. Why now, not two years ago and why not in three years? That is - well, first of all, a little bit about companies' hierarchies. We have started in a different end of the list. This is then more wrapping up the list as we set it out in 2017. NENT, as you know, become a more focused company. Sigve, I guess, we would like to recommend Anders for his hard work in making this happen on their side. So we have had a good chemistry and made things work. So that is probably the reason behind that. Then the IPTV solution of NENT is included in the transaction, which, obviously, from a financial point of view, have a different kind of multiple, different kind of growth prospects. It's also a very interesting business that the joint venture think can be developed further. And then there are several agreements fitting up to this, the satellite content included, et cetera. So it all boils well together, and we are very pleased with the ratio and the setup of the company. We, as I said, this is one unit in a large market with fierce competition. And we really think that this will enable those who want to continue with the satellite setup and who perhaps even needs that in lack of fiber or other solutions. We really think that this a very good thing to do to keep giving them good offerings and, as I said, innovative products going forward. We assume around one evaluation in the EU, but we don't know. And we have said first half 2020, hopefully, we should be able to conclude it by then. But we are very excited about it, and Anders sounded excited as well. So that was good.
Terence Tsui: That’s great. Thank you.
Operator: Next question from Johanna Ahlqvist, SEB.
Johanna Ahlqvist: Thank you. Two short questions, if I may. First one, it's related to CapEx. Because most of your Nordic peers have guided that CapEx is expected to increase in 2020, driven by the 5G network upgrade, what we can say, and I guess, are facing the same network upgrade in the Nordic. So do you also foresee that CapEx will increase from current level? And then my second question, basically a follow-up of the previous one related to the NENT transaction. I know that you've been talking about that you're sort of reviewing your previous strategy. And I was wondering, should we - is this NENT joint venture a first step in a - is your review also entering into content? Or are you firm in your previous statement that Telenor should not own content yourself? I'm just wondering. Thank you.
Sigve Brekke: Yes. I can answer the content question, and Jørgen can take CapEx. No, you should not read that into the NENT deal. This is a transaction, as Jørgen said, that is value created out of the synergies in a business that we see is slowly declining going forward. We remain that having a strategy where we do not believe that we should be owning content. We see ourselves more as a distributor of content. So there's no change in what we have said before on that.
Jørgen Rostrup: On the CapEx number, we would prefer to wait until we meet again in January. We have so far said that the 5G as such early phase of 5G, we should be able to capture most of that into our existing CapEx frames. We think this is a granular and very surgical, specific exercise in order to do this value creating. And by the way, the network modernization in general and the cloud-based systems that we are anyway putting up will be a key part of the 5G structure in some of our markets. But then we have the modernization and the copper sun setting on top of this, so we have a very packed program in particular in Norway area, as you can see. Still, we think we should cater for most of this within our frames. So that is what we are alluding to. Thank you. I think we can take two or three more questions and then we have to end the session.
Operator: Next one is from Nick Lyall, SocGen.
Nick Lyall: Good morning, everybody Just one from me, please, on Grameen, if that's okay. It's still your main growth driver in the service revenue side. And it's look like it's slowed by 3 to 4 percentage points this quarter because of the uniform rates. But are you concerned the further pressure from the Finance Act and regulatory measures are coming? Should we be concerned that growth is going to slow further? And secondly, will all that disappear if you just pay up on the BTRC? Or could you just explain how the 2, if they do combine, could be offset and avoided? Thank you.
Sigve Brekke: Yes. I don't think those two issues are related. So let me take the growth issue first. Yes, you see a little bit slow growth in the third quarter than you saw in the first half of the year, but that's coming from a couple of issues. One is that the comparables are much tougher, looking at the comparable we had in the third quarter last year. The second one is also introduction of a sin tax, and that was done in the middle of the quarter, which basically means that the end users covers need to pay more to get a SIM card than they did in the past. That's why you see that the new subscribers are slowing a bit down. Having said that, we are continuing to drive the market on being competitive of voice. But more importantly, see how we can drive the data consumption. And still, it's less than 50% of our customers that are using data. Still, the penetration of smartphone is relatively low. And that's where we see that we can grow the ARPU, we get people to start moving from voice into data. So going forward, we see that there is a good growth potentially in Bangladesh or in Grameen without giving any guidance on the number. The other issue, it's the audit with BTRC or with the regulator. Of course, we take this serious. However, we have seen also similar things to happen in the past. So we hope now that we can move that issue into a dialogue and try to find a solution on it. And this is not only for us. This is also an industry issue where at least one of our competitors are involved in the same discussions.
Nick Lyall: Okay. That’s great. Thank you.
Operator: Next one from Usman Ghazi from Berenberg.
Usman Ghazi: Hello. Its Usman Ghazi from Berenberg. Thank you for taking the question. I have two questions, please. First, with all of these - with all of this slowdown in China, Chinese economy feeding through into the Southeast Asian region, I mean, are you kind of seeing any impact on usage trends for data or on voice usage or anything of the like that might be giving you an indication that there could be kind of macro pressures on growth more broadly in the region going forward? And my second question is just a bit of housekeeping. I mean, on the deal announced yesterday, are the assets being contributed on a debt and cash free basis? I read the release saying that the cash flow will be distributed back and dividends through the JV partners. Is that going to be 100% of the cash flow being distributed back? Thank you.
Sigve Brekke: On your first question, no. It's very difficult to answer that question, of course, but I think we more see macro issues in the various countries. For example, Pakistan, which is more due to the devaluation of the currency and also due to the need to raise taxes as part of the IMF deal. And you can say - see the same in Malaysia where we see that there are fewer immigrants now than there had been in the past. And traditionally, we have been strong in the immigrant segment. But other than that, I think it's difficult to say the development in Chinese economy is influencing the growth perspective in our markets.
Jørgen Rostrup: The answer on the second question is two times, yes. Although when it comes to distribution of cash back, yes, I wouldn't say 100%, because they will - first of all, this will be our length-basis business company with a clear policy on dividend and so on. But as we've also said, we want to develop good solutions for customers and continue to be an attractive offering in that company from a value-creation perspective. So it won't be so that we are taking out cash to the extent that the company is not able to give good customer offerings. But except from that, yes, cash back. Is that the final question? Or are we through the list?
Operator: We have more questions.
Jørgen Rostrup: Yes. I think we can take one more and then we need to stop.
Operator: Let's take our final question from Siyi He in Citi.
Siyi He: Hello. Hi, good morning. Thanks for taking my question. I just have one question, please, then just to follow up on your CapEx comments. I mean if I look at Thailand, you clearly have benefited from the high CapEx investments with better customer growth and NPS. And you have been running CapEx at NOK 16 billion to NOK 17 billion for the last 2 years. I was just wondering, based on the Thailand experience, whether you have - thinking of your CapEx strategy going forward, assuming if you could get better customer loyalty and NPS, especially. in your Asian footprint? Thank you very much.
Sigve Brekke: No. I think the CapEx we have used in Thailand last year of course is due to the license and the spectrum that we got. And I think when you look at CapEx at the group level, we need to look at the balance between CapEx and the multiple spectrum that we have, but we also now see clear effects of the centralized [indiscernible] recruitment company [indiscernible] so a company that is based in Singapore. And we have to use group leverage to actually take down the prices. We really see benefits out of that. I also think we see some benefits out of some of the modernization we have done in our networks. So it's a part of that. Having said that, we are measuring now the Net Promoter Score, NPS that the network part of that in every market. And we see that this is by far the most important part of making the customer satisfied. So this is something we stay very close to. And we are then deploying CapEx accordingly to make sure that we have that position in all the markets.
Jørgen Rostrup: Thank you very much for listening into our third quarter results, everybody. Thank you.
Sigve Brekke: Thank you.